Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Tower first quarter 2021 earnings conference call. As a reminder, today’s conference is being recorded. Following the prepared remarks, we will open the call for questions. If you’d like to ask a question, please press 110. I would now like to turn the call over to your host, Igor Khislavsky, Vice President of Investor Relations. Please go ahead, sir.
Igor Khislavsky: Good morning and thank you for joining American Tower’s first quarter 2021 earnings conference call. We’ve posted a presentation which we will refer to throughout our prepared remarks, under the Investor Relations tab of our website, www.americantower.com. On this morning’s call, Tom Bartlett, our President and CEO will provide a strategic update on our U.S. business, and then Rod Smith, our Executive Vice President, CFO and Treasurer will discuss our Q1 2021 results and revised full year outlook. After these comments, we will open up the call for your questions. Before we begin, I’ll remind you that our comments will contain forward-looking statements that involve a number of risks and uncertainties. Examples of these statements include our expectations regarding future growth, including our 2021 outlook, capital allocation, and future operating performance, our expectations regarding the impacts of COVID-19, our expectations regarding the impacts of the AGR decision in India, our expectations regarding our pending Telxius acquisition, and any other statements regarding matters that are not historical fact. You should be aware that certain factors may affect us in the future and could cause actual results to differ materially from those expressed in these forward-looking statements. Such factors include the risk factors set forth in this morning’s earnings press release, those set forth in our Form 10-K for the year ended December 31, 2020, and in other filings we make with the SEC. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained in this call to reflect subsequent events or circumstances. With that, let me turn the call over to Tom.
Tom Bartlett: Thanks Igor. Good morning everyone.  As is typical in our first quarter call, the focus of my comments today will be on our foundational U.S. business, which represented nearly 58% of our total property revenue and more than two thirds of our consolidated property segment operating profit in Q1 while accounting for about three quarters of our $60 billion in contractually committed revenue. The overall NOI yield of our U.S. property segment now stands at 11.5% [indiscernible] the portfolio for at least 10 years, generating more than 20%. These metrics reflect our long track record of driving strong, profitable, recurring cash flow growth in the U.S., and we remain confident in our ability to extend that track record long into the future. This confidence is inspired not only by the exceptional visibility we have into our long-term organic growth rate through our existing comprehensive master lease agreement, but also due to a number of favorable industry trends that we expect to drive our business forward. These trends in large part center on our customers’ 5G network deployments, which we expect to meaningfully accelerate over the next several years giving rise to a more developed 5G world. On the demand side of the equation, mobile data usage growth shows no signs of slowing. The average smartphone user in the U.S. is currently consuming more than 15 gigabits per month and is expected to be using more than 50 gigabits on a monthly basis by 2026, reflecting a CAGR of nearly 30%. The proliferation of value-added streaming services, mobile video conferencing, and other content-rich bandwidth intensive applications continues to stress existing 4G wireless networks, creating the need for more material additional network capital investments, and emerging AR and VR applications and other next gen capabilities are contributing virtually nothing to mobile data usage today given the limited coverage and low 5G device penetration, but we don’t think that will be the case for long. The 5G network revolution is under way and it’s quite possible, perhaps even likely the current growth projections for U.S. mobile data usage will prove to be conservative, much like what we’ve seen in the past. The development of 5G-related, low-latency applications and services, additional growth from enterprise accounts, and even fixed wireless applications in the home could all drive usage much higher over time. We expect that the increased availability of spectrum in the marketplace, particularly on the midband side, will help enable this usage growth going forward. Spectrum has always been the lifeblood of the wireless industry, and given the capacity necessary to provide users a true 5G experience, it is more important today than ever before. Particularly significant in our view are midband spectrum assets like 2.5 Gig and the newly acquired C-band frequencies as they provide our customers with a crucial middle ground between the attractive propagation characteristics of low band spectrum and the deep capacity characteristics of higher band. We believe the results of the most recently completed C-band auction underscore the importance of this spectrum to our customers as they look to monetize the benefits of 5G. Importantly, as the carriers emphasized in their public comments after the auction, we expect this spectrum to be deployed quickly. The wireless industry is in a strong financial position and numerous steps have been taken by the carriers to not only fund the upfront purchase price of the spectrum but also to effectively deploy it. In fact, we are already seeing sizeable increases in activity in our own services segment, and consistent with our long-term outlook expectations, we expect to see higher levels of gross new business in our property segment beginning later this year, particularly in ’22 and beyond. Part of this uptick in activity is in rural areas as stimulus funds from the government support smaller companies to effectively deploy wireless internet services, and as the major operators continue to fill in the white spaces in their network. The deployment of fixed wireless for households around the country using midband spectrum, as our customers are planning, could also provide further opportunities for us going forward. Taking all of these factors into account, we believe we have a highly attractive, long-term monetization opportunity in front of us as the carriers further densify their networks and add more equipment to existing lease sites to support their incremental capacity needs. A significant portion of this growth is locked into our existing contractual relationships. Other components of the growth may be more variable. Either way, we expect to see higher levels of activity in the marketplace accompanied by increasing wireless capex spend. On this point, analysts are projecting more than $35 billion in average annual capital spending from our customers over the next several years, which would represent industry record. With that in perspective, that average annual rate is more than double what the carriers spent back when 2G was actually deployed. While each of our customers have slightly different strategies to deploy 5G, we are confident that they will be successful in doing so. We also believe that our macro tower oriented U.S. portfolio of over 43,000 sites is optimally positioned to benefit from these accelerating deployments. Macro sites continue to be by far the most cost effective RF-efficient network engineering option and are also optimally located to help deliver coverage and capacity for hundreds of millions of people nationwide. As a result, we continue to believe that the vast majority of midband deployments in the U.S. for the foreseeable future will be on macro towers, and as our network infrastructure was ideally suited for our customers’ needs for 2G, 3G, and 4G, and we have no reason to believe that 5G will be any different. What we do expect to be unique to 5G is the added use of massive MIMO technology for midband spectrum deployments on our macro towers, which should provide operators with more dynamic coverage and capacity capabilities. The race to nationwide 5G with the use of massive MIMO will require more fiber connections to antennas, increased DC power, and enough capacity to accommodate the size and weight of these more intelligent RF solutions. To prepare for these requirements, we have been proactively investing in more efficient and scalable power solutions at many of our sites. We’ve also upgraded the capacity of many of our tower structures over the last decade, installed energy efficient LED lighting on many sites, and invested in site hardening initiatives where appropriate. Simply put, we stand ready to service our customers as they accelerate their 5G deployments. Importantly, macro sites may even be more critical today given the incremental density networks will require to support a 5G architecture, and because only one of our existing tenants is on more than half of our sites today, we have a tremendous opportunity to drive incremental lease-up at and capacity utilization as densification initiatives ramp up. As has been our experience, we would expect that roughly $0.90 of every dollar we generate from this organic leasing activity will flow straight to the bottom line. As a result, we expect to continue to drive strong operating leverage in the business along with modest capital intensity, reflecting two of the hallmarks of our last several decades [indiscernible]. Additionally, we expect to continue to generate strong operating profit margins, including more than 78% in 2021. All of these factors contribute to our confidence in our ability to drive average annual U.S. and Canada organic tenant billings growth of at least 5% in 2027, normalized for the sprint churn impact, and at least 6% from ’23 to ’27 specifically calculated on the same basis. Importantly, more than two-thirds of this growth is now contractually locked in, given the signing of our MLA with Dish in the first quarter. Embedded with these expectations is the assumption that our portfolio of wireless towers will be our fastest growing asset, as has been the case over the last five years, and our organic tenant billings growth was an average of roughly 40 basis points higher than our overall U.S. metrics. This resilient trend, in our view, was another point of validation that macro tower will continue to be the focal point of modern wireless networks, generating the best economics across the telecommunications real estate universe.  Going forward, we expect these economics to get even better. Margins will benefit from densification driven leasing activity and continued amendments, while costs will remain largely fixed and capital intensity should continue to be low. Existing leases will escalate at historical rates of at least 3% and normal course churn should be quite modest, likely trending down over time particularly once we work through the Sprint cancellations over the next few years. We intend to remain laser focused on maximizing our sustainable cash flow growth from these fundamental 5G drivers.  We also believe that the economics of our U.S. business and specifically of our macro tower sites can be further enhanced through the implementation of collective platform expansion initiatives. Chief among them is edge compute, which is starting to come into clear view as true 5G becomes a reality for consumers, and perhaps even more importantly for the enterprise segment. We expect the key drivers of demand for edge compute solutions to be the emerging need for incremental Cloud-RAN locations and lower latency applications processing in a 5G environment. As more and more data processing evolves to the network edge to support those needs, we anticipate that new micro edge data center architecture will be necessary to complement the existing regional framework. Select locations within our nationwide macro tower asset base, which by definition are at the mobile network edge, are positioned to play a meaningful role in this evolution. The underlying thesis supporting this belief is the concept that, as it has been for the last two decades in the deployment of wireless networks, shared neutral host infrastructure will be the most cost effective and efficient way to rapidly deploy cloud-native 5G applications at scale. Given that our attractively located tower sites have existing access to fiber and power while already hosting multiple communications providers, they are a natural candidate to represent hub locations for these low latency wireless edge data centers.  Scale deployment of a true mobile edge remains several years away, but in our view the TAM could be quite significant, running well into the billions of dollars annually. In the meantime, we have some half dozen ongoing small scale distributed commute trials at our tower sites, creating a beachhead to larger scale true mobile edge deployments. Additionally, our Colo Atl facility continues to outperform our expectations and we are having meaningful conversations with a number of key stakeholders across the data center and cloud sectors regarding the optimal requirements for the 5G edge. As we’ve noted previously, we intend to explore global joint ventures or partnerships to effectively leverage these inherent opportunities, and we continue to work through a number of different scenarios on that front. The early data points we are seeing throughout the industry all suggest that this can be a meaningful, scalable opportunity that can represent solid upside for us in due time, and we are devoting resources internally to ensure that we are in a position to be opportunistic and agile. In the context of the long term outlook we discussed last quarter, we believe that mobile edge compute could eventually represent meaningful potential upside. Having said that, we are going to remain disciplined from a capital deployment perspective, as you would expect. Recurring revenue, strong long term growth prospects, healthy ROIC and an attractive margin profile are all prerequisites for us to deploy meaningful capital anywhere, and that includes our efforts on the platform expansion side. Our preliminary assessments indicate that the edge opportunity fits nicely into our framework, but we will need to prove out this thesis going forward.  Taking into account the strong underlying baseline growth path we have in the U.S. for the next decade, we are in a position to be thoughtful, deliberate and strategic with these types of initiatives. Additionally, while we are laser focused on driving incremental value in the U.S., we expect to have attractive opportunities to deploy capital internationally where high quality, scaled macro tower portfolios are likely to come to market, and while my comments today are focused on our U.S. operation and marketplace, the exact same approach can be duplicated globally. Whether it’s growth, platform expansion opportunities, or margin expansion, the messages globally are identical. With our roughly 220,000 sites pro forma for the Telxius acquisition, we have an unmatched presence in some of the fastest growing wireless broadband markets - period, and we can offer to a number of different parties a one-stop capability that is second to none. While we would expect to expand the depth of this presence over time so as not to be complacent, we believe that it already gives us a significant competitive advantage As we have always done on a global basis, we will be seeking to maximize long term growth in AFFO per share while maintaining attractive returns on invested capital. We also continue to invest in our people, our systems and processes and remain focused on numerous ESG initiatives while dedicating ourselves to ensuring a diverse and inclusive culture throughout the company. To summarize, I want to reiterate our excitement about the U.S. market. We are in the very early stages of a transformation period in U.S. wireless technology, one that has the potential to fundamentally alter how we live, work and play while opening up tremendous new possibilities across numerous industries. Our extensive portfolio of communications real estate across the country sits at the cross-section of the elements that can make this transformation a reality, and as a result we are positioned to drive compelling long term stockholder returns while continuing to provide industry-leading service levels to both existing and new customers. Finally, I want to recognize our nearly 6,000 employees around the world who are working tirelessly for all of us. Achieving the types of results Rod is going to walk you through now, particularly through this horrific pandemic, is really remarkable, and I want them to know just how much we all appreciate their dedication and hard work. With that, let me hand the call over to Rod to discuss our first quarter results and updated outlook. Rod?
Rod Smith: Thanks Tom, and thanks everyone for joining today’s call. I hope you and your families are doing well and staying healthy. As you saw in today’s press release, we’re off to a strong start in 2021 as 5G ramps up in the U.S. and as carriers in our international markets deploy significant capital towards their network enhancement initiatives. Before getting into the details of our Q1 results and revised outlook, I want to touch on a few highlights for the quarter. First, we announced the acquisition of Telxius, which we believe will be transformational for our European business. We also signed a master lease agreement with Dish which locks in attractive multi-year growth in cash property revenue for us, beginning in 2022. Second, demand for our towers continues to be strong throughout our global footprint and we saw this reflected in both our solid tenant billings growth and in the high volume of new bills in the quarter. Third, we continue to leverage the capital markets to support our investment grade balance sheet, issuing $1.4 billion in senior unsecured notes and refinancing existing debt at highly attractive rates. Finally, we made good progress regarding the financing plan for our expanding European business, including private capital. We expect to communicate specific details of our plan prior to closing the first tranche of towers, which we anticipate will be later this quarter. With that, please turn to Slide 6 and I’ll review our property revenue and organic tenant billings growth for the quarter. As you can see, our Q1 consolidated property revenue of $2.130 billion grew by 7.9% or nearly 10% on an FX-neutral basis over the prior year period. This included U.S. property revenue growth of 13% and international property revenue growth of 1.7%, or 5.8% excluding the impacts of currency fluctuations. These growth rates were right in line with our expectations and continue to reflect the essential nature of mobile services and the importance of our tower portfolio throughout our served markets. Moving to the right side of the slide, organic growth was once again a significant contributor to our overall revenue growth. On a consolidated basis, organic tenant billing growth was 4.1%, including 3.6% in our U.S. and Canada segment and 5% in our international markets. In the U.S., we had a solid quarter of gross new business commencement, as expected, and churn was right in the middle of our historical 1% to 2% range. Escalators were 2.6%, impacted by certain timing mechanics within our MLA with T-Mobile. For the full year, we expect escalators to come in right around 3%, consistent with historical trends. Meanwhile, international organic tenant billings growth was particularly strong in Latin America, coming in at 7.9%, and was also quite solid in Africa where we generated growth of 7.4%. In both regions, we are continuing to see our tenants actively deploying equipment across their networks as mobile data consumption grows rapidly. Activity in Nigeria was a highlight once again, and we continue to expect growth in that market to ramp up going forward.  We also had a strong quarter in Europe, particularly in Germany where gross new leasing growth was around 7% driven by accelerating 5G deployments and continuing investments in 4G. In India, we saw an organic tenant billings growth decline of 1.6%, in line with our expectations as we continue to work through the latter stages of AGR and consolidated related churn in the market.  On the gross new business side, we saw another solid quarter which was further complemented by contributions from the more than 5,000 sites we have constructed in the market since the beginning of 2020. Notably, global commenced monthly new business in the quarter, including contributions from new build, was more than $11 million, up about 17% versus the prior year period and representing a new ATC record level. Turning to Slide 7, our first quarter adjusted EBITDA grew 13.3% or 14.9% on an FX-neutral basis to $1.440 billion. Adjusted EBITDA margin was 66.7%, up nearly three full percentage points over the prior year driven by continued organic growth and prudent cost controls throughout the business, as well as the benefits of straight line revenue related to the T-Mobile MLA signed late last year.  Cash SG&A as a percent of total property revenue was 6.6% for the quarter as significant scale across our footprint continued to yield benefits along with some bad debt reversals in India.  Moving to the right side of the slide, consolidated AFFO and consolidated AFFO per share each grew by about 24%. These growth rates included the benefit of the non-recurrence of about $63 million in one-time cash interest expense booked in Q1 of last year associated with our purchase of MTN’s minority stake in our Ghana and Uganda businesses. Normalizing for that item, growth would have been around 16%, the highest rate in several years. This was driven by high conversion of cash adjusted EBITDA, as well as lower than expected cash interest, non-recurring cash tax refund, and seasonally low maintenance capex.  I will note that the cash tax and maintenance capex trends we saw this quarter are largely attributable to timing, so these lines are expected to pick back up over the rest of the year. As a result, we expect that Q1 will be the highest level of quarterly consolidated AFFO per share that we see in 2021. Finally, on an FX-neutral basis, consolidated AFFO and consolidated AFFO per share growth for the quarter would have been right around 26%.  Let’s now turn to our revised full year outlook, where I’ll start by reviewing a few of the key high level drivers. First, due to the negative impacts of translational FX fluctuations in some of our international markets, we are reducing our property revenue outlook by $25 million at the midpoint. On an FX-neutral basis, we would be increasing our property revenue expectations due to higher pass through and straight line revenue internationally. Second, despite these FX headwinds, we are raising our outlook for both adjusted EBITDA and consolidated AFFO. The adjusted EBITDA outperformance is primarily attributable to higher expected contributions from our services segment driven by pre-construction site acquisition zoning and permitting work for our customers as well as slightly more favorable SG&A trends in the business. Regarding our improved AFFO expectation, in addition to the services outperformance we are anticipating lower cash taxes and cash interest expense for the year. Finally, per our historical practice, our revised outlook continues to exclude the impacts of our pending Telxius transaction and its associated financing. We expect the transaction to close in multiple tranches, beginning with the majority of the European sites later in the second quarter and with some of the German rooftops and the Latin American sites in Q3. Once the assets begin to close, we will update further iterations of our guidance to include these contributions. We look forward to quickly integrating the portfolio and, as previously noted, expect the deal to be immediately accretive to consolidated AFFO per share. With that, let’s turn into the details of our revised full year expectations. As you can see on Slide 8, we are now projecting consolidated year-over-year property revenue growth of 7.5% at the midpoint. The decline as compared to the prior guidance is due to approximately $48 million in negative translational FX impact, which is being partially offset by about $23 million in additional international pass through and straight line revenue.  Moving to Slide 9, you’ll see that we are reiterating our organic tenant billings growth projections across all regions as the global leasing environment remains consistent with our prior expectations across our footprint. We continue to expect consolidated organic tenant billings growth of 3% to 4% in 2021. In the U.S., as Tom outlined earlier, we anticipate a prolonged period of strong growth driven by 5G related densification initiatives by the carriers as they roll out multiple spectrum bands. We continue to expect that gross new business activity will accelerate through the year and into 2022. Looking to Latin America, organic tenant billings growth is expected to be roughly 7% for the year. Despite some challenges around COVID trends in the region, carrier activity remains consistent as customers continue to increase their mobile data usage and carriers respond with incremental network investments. In Africa, we expect to generate organic tenant billings growth in excess of 8%, driven primarily by spending on 4G deployments.  We are seeing especially strong growth in Nigeria where new business trends continue to inflect positively and where our contract structures with key tenants are supporting growth. As we move into the back of the year, we anticipate that Africa organic tenant billings growth will accelerate to above 9%.  In Europe, we continue to expect organic tenant billings growth of over 3% for the full year and are seeing solid trends, particularly on the gross new business side. We’re especially encouraged by what we are seeing in Germany, where organic tenant billings growth excluding churn hit 7% in Q1 for the first time. We expect positive new business trends to continue going forward as incumbent carriers accelerate their 5G initiatives and as a new tenant begins to roll out its network. Finally in India, we continue to expect roughly flat organic tenant billings for the year. While we believe we’re in the very late stages of the consolidation process, we maintain our expectation that we will see elevated churn this year as the post-AGR environment sorts itself out. With that said, we remain optimistic that the long term growth trajectory in the market should be more favorable, particularly given that the structural framework of the wireless sector today is probably the most constructive it has been in the last decade. Moving to Slide 10, we are raising our adjusted EBITDA outlook and now expect year-over-year growth of 9.6% despite about $30 million in negative translational FX impacts as compared to our prior outlook. Around $33 million in incrementally expected services gross margin, $3 million or so in net straight line favorability, and about $4 million in lower cash SG&A is enabling us to more than offset the FX headwinds. The services activity we are seeing is broad-based and spread across multiple tenants, and in our view another indication that U.S. network investment activity is in the early stages of a sustainable acceleration.  Turning to Slide 11, we are also raising our expectations for full year consolidated AFFO and now expect year-over-year growth of over 9% with an implied outlook midpoint of $9.25 per share. Services segment outperformance as well as about $13 million in net cash interest and cash tax favorability are driving this upside and enabling us to absorb about $25 million in unfavorable FX impact. On a per-share basis, we expect growth of 9% for the year and continue to drive towards our goal of delivering double-digit growth. Moving onto Slide 12, let’s review our capital deployment expectations for 2021, which are broadly consistent with our prior outlook and reflect our continuing focus on driving strong, sustainable growth in consolidated AFFO per share. Distributing capital to our common shareholders remains our top capital allocation priority and we continue to expect to allocate approximately $2.3 billion towards our dividend in 2021, implying a year-over-year growth rate of around 15% subject to our board’s approval.  Regarding capex, we are raising our projections by $25 million at the midpoint due to some additional expected U.S. land investments and a modest increase in start-up capex internationally. On the acquisition front, we spent around $115 million in the first quarter and continue to expect to deploy over $9 billion for the Telxius transaction later this year.  As I mentioned earlier, we have made substantial progress on the financing plan for our European business and our acquisition of the Telxius assets. This includes on the private capital front, where we continue to remain confident that we can bring in one or more high quality strategic counterparties to purchase minority stakes in our European business not only to help us finance the Telxius transaction but also to collaborate on future European expansion opportunities.  On the debt side of the equation, we continue to expect to take our net leverage up to the high five times range. Having completed a U.S. dollar denominated senior unsecured notes offering in Q1, we anticipate that other near term debt issuances are likely to be euro denominated. This is consistent with our expected material expansion of euro-based revenues in our business and will enable us to take advantage of highly attractive financing rates. Finally, any remaining funding need that isn’t covered by debt issuances or private capital will be in the form of equity through a common equity issuance and/or a mandatory convertible preferred issuance. Our goal continues to be to fund this transaction in a way that is not only optimal from a capital structure perspective but also enables us to optimize shareholder return. Turning to Slide 13, I’d like to spend a few minutes on our new build program, which has accelerated over the last few years to meet increasing demand for new sites by a number of our key international tenants. As you can see, since 2016 and including our expectations for this year, we will have added over 23,000 sites to our portfolio through new construction. In 2020, we built over 5,800 towers, a new American Tower record, and we’re off to a great start in 2021, adding nearly 2,000 sites in our international markets for the quarter, a level of activity only exceeded by that of Q4 2020. Moving to the middle of the slide, you can see that we are seeing highly attractive returns on capital deployed towards new sites. In Q1, average day one new build NOI yields were around 12%. In our APAC region where we added over 1,300 sites, we saw highly attractive yields of around 15%, and in Africa where we added more than 500 sites, we averaged day one returns of over 10%. We’re anticipating another record year of new builds in 2021 with 6,500 sites at the midpoint of our outlook. The majority of these deployments will be focused across these same APAC and Africa regions, where we expect to drive the most attractive new build returns and where the vast majority of new build activity is for investment grade anchor tenants. Looking beyond 2021, we expect this trend of increasing demand for incremental wireless infrastructure to continue as carriers in markets with fast growing populations and surging demand for mobile data work to enhance their networks. We believe that our existing global scale, track record of providing best-in-class service levels and strong relationships with MNOs place American Tower in a favorable position to act as a preferred partner for these large scale deployments. As such, we’ll look to take advantage of the opportunity to continue growing our international portfolio by deploying capital for high return new build projects, and as Tom noted on last quarter’s call, based on the demand we are seeing for new sites internationally, we are targeting the construction of 40,000 to 50,000 new sites over the next five years. Finally on Slide 14 and in summary, Q1 was another quarter of solid organic growth, margin expansion, dividend growth, and strong new build activity. We were able to secure a transformational deal in Europe with the pending Telxius transaction, signed a value-additive long term MLA in the U.S., continued to enhance our balance sheet through opportunistic refinancing, and remained focused on cost controls and driving sustainable recurring growth. We are excited about the global demand for tower space and look forward to making additional progress on many fronts through the rest of the year as we seek to deliver compelling total returns to our shareholders. With that, I’d like to turn the call back over to the Operator for Q&A.
Operator: [Operator instructions] Your first question comes from the line of Simon Flannery from Morgan Stanley. Please go ahead.
Simon Flannery: Thank you very much, good morning. 
Tom Bartlett: Hey Simon.
Simon Flannery: How are you? Thanks for the overview on the U.S. portfolio - very helpful. It does seem like you’re also becoming more constructive on Europe. We have the Telxius transaction and to Rod’s comments about looking for partners, it seems like that extends beyond this deal. So, perhaps you’d just give us a little bit more color on what you see in Europe now. It seems like Germany in particular is very strong, but are you open to that becoming an even bigger part of your future beyond the Telxius deal, and what exactly are you looking for in these partnerships as opposed to raising straight equity or debt, given the attractive capital markets there?
Tom Bartlett: Thanks Simon, thanks for the question. You know, we’ve been looking at the European market for the better part of a dozen years, and we did create a couple beachhead properties, if you will, in France and Germany, pretty small, in kind of the 4,000 to 5,000 sites a number of years ago, and we’ve continued to look in those particular markets to see if there are opportunities. One of the challenges that we always saw in those markets were who the counterparty was, what the capital would be that required to upgrade the sites themselves, and really what were the long-term growth projections and opportunities in the marketplace, and so as such, we were never successful in terms of kind of landing any particular transactions up until the transaction that we’re just about ready to close with Telxius. A lot of that is a function of the relationship, I think, that we’ve built with Telefonica over so many years and have--you know, they have such credibility, and I think we have a lot of credibility with them. We were able to put our hands on this particular portfolio, and I think in particular for those very reasons that I mentioned before that got in the way of us being able to close things, is that the portfolio itself is very solid, it’s a terrific set of assets, terrifically located, as I said good counterparty, and now what we’re starting to see in the marketplace, as Rod talked about, was really the evolution of 5G. We’re starting to see more spectrum being deployed to support 5G and we’re really, I think, just on the front end of what that 5G deployment is going to look like. We see it accelerating particularly in markets like Germany, and we see the opportunity for a new entrant who is going to be coming into the marketplace, and so we think it really rounds out our overall portfolio. I think we have a significant competitive advantage in that we have a presence in so many different -- very, very important markets around the globe, and this just increases the overall presence we have and what was kind of a hole, if you will, in our portfolio given the size of the assets that we had before. And so now, we’re going to have 30,000 sites in the marketplace, terrific counterparty, and as I said right in the beginning part of what we think is going to be a long-term growth trajectory in the region, and so we’ll use that as a way to be able to continue to grow if it makes sense and if we find good assets, good opportunities in the region. I think we’re positioning ourselves with some very interesting private capital, and so that will increase the overall platform for our ability to grow in the market. I mean, they’re very passive - we’re operating it. They’re minority partners, as you would expect, but they are very interested also in growing their portfolios in our base of assets, and hopefully they’ll be able to participate in future potential investments with us.  I think that this is all coming together quite nicely for us, and we’ve received the approvals to be able to move forward with the transaction in all due respects, and so we’re excited about what the region has in front of us. As I said, equally as important, we’re excited now about what that brings to our overall global footprint and how important that could be to TSBs, hyper scalers, who knows who might be looking for kind of a one-stop shop, if you will, in looking at our over 200,000 sites in these key markets, and we look to continue to grow that. Rod talked about the 40,000 to 50,000 new builds that we’re looking at, and so we very much have our sights on increasing our footprint globally, and I think this is a great step.
Simon Flannery: Great, very helpful. Thank you.
Operator: Your next question comes from the line of Ric Prentiss from Raymond James. Please go ahead.
Ric Prentiss: Thanks, good morning guys.
Tom Bartlett: Hey Ric.
Ric Prentiss: Hey. I’m going to follow on Simon’s question a little bit there. Tom, if the private capital makes sense in Europe, does it make sense in other areas outside of Europe to come onboard with you guys?
Tom Bartlett: It very well may, Ric. You know, we’ve had JV partners in the form of MNOs in the past, as you well know - with MTN, who were a great partner, and it very well may. We’ll look at it on a case-by-case basis and look at the opportunities. We think we have a good playbook, if you will, that we’ve created as a result of the work that we’ve done on this particular transaction, and there’s definitely a lot of interest, and so we’ll look at that as perhaps the means to create a broader platform for our ability to grow. So, it’s very possible, and as you know, we’ll look at everything on an individual basis, a case-by-case basis.
Ric Prentiss: Makes sense. You also pointed obviously to some excitement about a new entrant in Germany - I assume that’s the Drillisch folks. What can you tell us about their aspirations or what type of network they’re thinking of building?
Tom Bartlett: I think that’s probably a better question for them in terms of what they’re actually looking for. They recently, though, have executed a roaming agreement with Telefonica, so they have a very strong relationship, I think, with TEF in the market, which we’ll then be able to hopefully take advantage of. I think that will unfold over the year as they’ve said publicly, in terms of putting that all together. They are looking to roll out 5G, urban markets first, and so this is where our rooftop penetration, rooftop assets in that market as we’ve talked about has just been so incredibly valuable, and that’s a particular asset base that we just didn’t have before. We were quite rural in terms of the portfolio we had before, so this really takes it up a few notches in terms of our ability to be successful in the marketplace, and my sense is they will take advantage of the rooftop assets probably out of the gate.
Ric Prentiss: Okay, and thinking of MLAs, we’re getting a lot of questions with Verizon having signed MLAs with Crown and SBAC. You guys have the Verizon portfolio towers from a transaction a few years ago. Talk just a little bit about what the path--the give and the take is on an MLA with Verizon with you guys.
Tom Bartlett: Well, as you know, Ric, we already have a long term master lease agreement in place with Verizon, and so it wasn’t one where it needed to be extended from that perspective. We have a terrific relationship with Verizon. We’re in conversations with them, I’m in conversations with them on quite a regular basis, not just on this but on a lot of broader issues in the marketplace, and so we have a holistic rate that we have right now with them that expires at the end of the year, and that’s just one element of this broader, long term master lease agreement with the, and whether that continues or not, who knows, but we’re, I think, providing excellent service for Verizon. They are being very aggressive on rollout of 5G and C-band, and we’ll be there every step of the way for them.
Ric Prentiss: Okay. Last one from me, it looks like you’ve removed the work aspirational from just having your target on AFFO per share be double-digit. Does that mean--you know, obviously it’s a goal, but it’s not--I think aspirational kind of scared some people last time around.
Tom Bartlett: Well, it is a goal. I mean, I don’t know if it’s aspirational or whatever, whatever word you want, but my compensation is driven on AFFO per share growth and return on invested capital, and our shareholders require that too, so we very much have an objective of that double-digit.  Now, it’s not going to happen maybe in every year, it’s long term, but we’ve been able to be very successful in terms of driving that kind of performance over the last 10 years and we’re very focused on continually driving to that kind of performance going forward. 2022, you know, we do have the churn impact associated with the Sprint assets, so could that be a challenge? Perhaps, but our goal is still the same, so I think we have a number of levers. We’re going to be bringing on the Telxius assets, which I think we’ll be very happy with those results and what that kind of accretion should be to take advantage of the markets, and we’ll have our normal solid growth that we see going on in the business. We just increased our overall EBITDA performance for 2021, and so we’ll remain laser focused on all of our costs, including all of our capital being spent. Again, our goal is to drive that kind of performance.
Ric Prentiss: Makes sense, thanks Tom. Everybody stay well.
Tom Bartlett: You too, Ric.
Operator: Your next question comes from the line of John Atkin from RBC. Please go ahead.
John Atkin: Thanks. I wanted to ask about Telxius, and you talked about strategic counterparties. At a high level, can you talk a little bit about the types of things that are factoring into your--with respect to governance, valuation or just other factors that are going to play a role in how this shakes out?  Then it’s been a couple of conference calls since you mentioned fiber, and I just wondered if there’s an update there or is that less of a focus these days in some of your Latin American properties. Thanks.
Tom Bartlett: Maybe I’ll ask Rod to address the first question and I’ll take the second one, John. 
Rod Smith: Sure Tom, that sounds great. Thanks Jonathan for the question. Hope you’re doing well. From a high level in terms of our Telxius financing, our plan has not changed, and we continue to make very good progress on the path that we originally announced, when we announced that we were entering into the transaction itself. There’s a few broad principles that we’re looking for. One is we expect to finance this deal in a way that’s consistent with our investment grade credit. That still is the focus. Our aim is to minimize the dilution of our current common stockholders, so continue to be focused on that as well, and we expect to finance this transaction in a way that supports it being immediately accretive, which is what we said early on and that’s continuing to be our focus and our expectation here as we move forward. A couple of things in terms of the internal workings of the financing plan. I don’t want to get into details around the governance and valuation and those sorts of things, but one thing I would say valuation-wise, it’s very consistent with the valuation of what we’re doing with Telxius. In terms of the minority stakes that we are selling, we’re selling minority stakes potentially in our European business not just to Telxius, but we will be putting our legacy businesses, combining that with the Telxius assets, so one key point is we do expect our debt to come up to the high five times - we’ve said that before, we’re still very comfortable in that range, and we do believe that that’s consistent with our investment grade credit rating. We’ve had many discussions with the credit agencies and we do not expect any risk of downgrades or outlook changes, or anything from that perspective. Additionally, near term senior notes that we may issue in order to fund the Telxius transaction are likely to be denominated in euro currency, and that will allow us to take into the very attractive rates that we see in the euro market certainly.  Then on the private capital front, as Tom alluded to and I mentioned in comments, we continue to progress along that path, and we’re very confident that we can bring in one or more very strategic investors. We certainly are talking to the world’s premier investors and certainly folks that understand this base, that understand the European market and other markets, quite frankly, as well as have relationships with some of our biggest customers around the globe, so there may be more than just financial benefits here to our shareholders but also strategic and kind of broader partnership benefits as well. Certainly that’s a key focus. Then the final piece of the financing plan will come in the form of equity, so whatever is not funded through the increased net leverage that I talked about and through the euro debt offerings and private capital, we expect to go into the market and issue some equity.  In terms of timing, we do expect the transaction to begin to close in the second quarter probably as early as late May for some of the European markets. The Latin American markets, we’re originally expecting that they would close probably sometime in Q3. There is a chance that Brazil and some of the other markets could close as early as the end of May or at some point in Q2, but we’ll continue to work through the timing there. There will be some assets, particularly some select rooftops that will close in Europe in Q3, not in Q2, so we will have multiple closings across Q2 and across Q3. That’s kind of the way that it shakes out, and again we remain very confident that this financing plan and our patience in putting it together and managing through the details I really going to pay off for our shareholders, and we’re in very good shape to begin to execute on this in the month of May as we prepare to close the first tranches of the Telxius transaction.
Tom Bartlett: Then John, with regard to your second question with where we are with fiber as one of our platform extension initiatives, first of all where we are, we have a six country fiber footprint - Mexico, Brazil, Argentina, Colombia, SA and India, and we cover over 30,000 route kilometres. We actually passed 1.25 million homes in those markets, and the networks themselves are a mix of active long haul, metro, some B2B in Mexico and Brazil, and a concentration of fiber to passive optical networks in SA, Colombia, Brazil and Argentina.  We’ve spent just over a billion dollars of capex over the past four years in those markets - $700 million for acquisitions and $300 million for development and redevelopment capex, so we’ve been monitoring it very closely. From a revenue perspective, I think we generated about $100 million in 2020, and our ROIC for those particular investments collectively is in kind of the 5%, 5.5% kind of range. Interesting, the SA assets, the return on invested capital is probably double that.  So what we’re thinking about strategically, again we’re looking at this from an initiative perspective, a platform initiative perspective. Some of the underlying elements of it, the foundations of it, again go back to how we’re looking at the overall tower model - multi service, multi tenant, long term anchor contract, escalators, exclusive real estate rights, a way for us to really be able to create a competitive advantage and really complement the power returns that we’ve been experiencing for the last 10 years or so.  Our strategy really has kind of two prongs. I would say the first is to pivot and transform our current fiber businesses in Mexico and Brazil into wholesale long term contracts. We’ll be looking to do this through long term contracts with Tier 1 carriers, also could involve some strategic inorganic transactions like we were just talking about before, and the focus is clearly creating a competitive, long term strategic asset in those markets. Then the second strategy really entails reaching certain economics in these deployments, particularly in SA and Brazil, and a focus on future investments in some of our emerging neutral host open access networks. We’ll continue to be opportunistic where it obviously makes sense, be monitoring it very closely, but we do see that we’ll see kind of a shift to open passive optical and multi-tenant access networks over time - we think that’s a great way to be able to improve the return on invested capital, and our regional focus is currently right now on Latin America where most of the assets are and leveraging our existing M&O relationships. We think we can create that model in LatAm and then be able to scale it globally. I mean, that’s kind of where we are. It’s still a work in progress, but I think we’ve learned a lot and I think we’re making great progress on the strategy.
John Atkin: Thank you.
Operator: Your next question comes from the line of Matt Niknam from Deutsche Bank. Please go ahead.
Matt Niknam: Hey guys, thank you for taking the questions. Just two, if I could. One on the services sides, if you can give us any updates in terms of how we should think about the cadence of revenues and services margin in the next couple quarters, and then I’m just trying to get a better sense of the breadth of the strength. I think in the prior remarks, you mentioned pretty diverse in terms of contribution, so if you can give us any color there.  Then secondly on the SG&A front in India, it looks like you’re moving past some of the elevated bad debt that hit you a year ago, so just trying to get a better sense of how we should think about that in terms of whether there’s any incremental bad debt you anticipate in that region, or whether you’ve moved past that. Thanks.
Tom Bartlett: Yes Matt, I’ll let Rod get into that.
Rod Smith: Yes, thanks Tom. Thanks Matt, hope you’re doing well. Thanks for the question. With regards to our services business, as you saw in the comments earlier and I think Tom alluded to it, we are seeing a significant uplift in our services revenue for the year, so you saw us raise our full-year outlook to about $175 million, up from about $120 million. The margins are broadly consistent year over year, so we’re expecting that mid to just a touch above mid 50% margins - that’s similar to what we saw in 2020, that’s what we’re expecting in 2021.  In terms of the timing of the services revenue, we are seeing an acceleration of, let’s say, applications and activity in the market, and we expect that to continue throughout the next couple of quarters, so more than 60% of the revenue of the $175 million is back-end weighted, so we would expect in Q3 and Q4, both of those periods would be north of $50 million per quarter in terms of revenue. That’s kind of the way to think about services. Services, what we’re seeing really is kind of a broad-based increase in services that goes across most all of our large customers, certainly, and it’s focused on [indiscernible] engineering, miles analysis, things like that. Those sorts of activities are generally kind of front-end loaded. That services work happens well before you see leasing activity and any kind of an uplift in leasing revenue, so it’s a really good sign here in terms of the activity level, the services that we see kind of ramping up towards the end of this year and as we transition into 2022.  When you think about India and bad debt, there’s still a few places where we’re watching customers around the globe, a couple in Africa and a couple in India certainly. We’re doing really well. There’s no significant incremental bad debt in our outlook, and our accounts receivable, the way it sits at the end of Q1 is broadly in line with the way that it sat at the end of Q1 last year, so we haven’t had a significant increase in accounts receivable. We continue to collect and be pleased with the way that our customers are paying in India and in the select places in Africa that we’re watching. We did end up unwinding a bad debt reserve in India in Q1 by just under $10 million or so, so that’s certainly a good sign; but with that said, we continue to watch India. There’s a few things that we’re looking for relative to some of our customers there in terms of capital raise projects that they’re in, and certainly the amount of liabilities through the AGR and some of the activity between our customers and the government to try to negotiate those, we watch that quite closely. But that’s really the story on accounts receivable and bad debt, but we’ve had a good quarter, we did well throughout 2020, and we don’t have any significant incremental bad debt in our outlook for 2021.
Matt Niknam: That’s great, thank you for the color.
Operator: Your next question comes from the line of David Barden from Bank of America. Please go ahead.
David Barden: Hey guys, thanks for taking the questions. I guess Rod or Tom, obviously the thing that’s going to propel the gross revenue trajectory domestically is the C-band auction and the pursuit of exploiting that opportunity among the carriers. Can you--for the benefit of us generally across this global portfolio that you have, can you kind of maybe tick off the next one, two or three markets where you’re expecting this kind of opportunity to emerge with spectrum options forthcoming?  Then the second question is John Stankey at AT&T kind of said he was, quote-unquote, skittish about the supply chain marketplace, even in the United States. Could you talk about how you’re thinking about the supply chain, chip availability specifically, affecting your company’s or customers’ ability to deploy and how you’ve factored that into your thinking about the guide? Thank you.
Tom Bartlett: Sure Dave, maybe I’ll start off and Rod can chime in with some additional commentary. What we’re seeing around the globe, as I think both Rod and I mentioned even in our remarks, was just an onslaught of new spectrum coming into the marketplace. We’re seeing in India, we’re seeing clearly in Europe, we’re seeing in Latin America, and they’re wide blocks of spectrum. For 5G to be effective, you need a wider swath of spectrum. It can’t be the 10 meg - you know, you’re looking at 20 to 40 to 60 meg of spectrum, and so that’s the first sign, I think David, that we see because, as I mentioned and as you well know, spectrum is the lifeblood of being able to roll out any of these new technologies, and for 5G to be able to truly realize the full 5G experience in terms of speed and latency, you need significant amounts of it. I look at--and in my comment before on Europe, what we’ve seen in certain of those critical markets, critical countries in Europe really stepping up to launching a lot of new spectrum, and I think that’s one of the reasons that we’re really now starting to see some outsized growth in those particular markets, something that we hadn’t seen for several years, and that really drove us to looking at some of the growth curves in that market for us to even lean into some of the assets that are there. That’s just kind of the first sign of it, I think. You know, you look at markets like Africa, though - I mean, Africa--I think Rod had mentioned they were kind of in the 8%, looking at growing to 9%, even kind of ending out the year. You look at markets like Nigeria and things like that, where we’re talking kind of double-digit growth rates - that’s just because the wire line presence there just doesn’t exist, and wireless broadband is everything that our customers are investing in, so you have slightly different reasons for some of the growth. Many of the markets are just getting into 4G, so we’re still on the front of that 4G curve, and Latin America, you look at Brazil growth, you look at Mexico growth, they’re in kind of the 7%, 8% growth range, so we’re really excited about what we’re seeing outside of the United States, and what’s really driving it clearly is more spectrum, more wireless penetration. Unfortunately, the pandemic has actually driven even more of a need for connectivity, and so we’re seeing even more wireless usage in those markets in particular, again because the wire line markets are just so poor and non-existent.  We would expect to see Europe kicking in with 5G, Africa continued growth as 4G becomes more of a reality there, Latin America similarly 4G into 5G ultimately, and even in India, the growth there is strong. We’ve got the churn issues that we have to deal with in that particular market and we’re getting our arms around it and making sure that we really nail those there, but it’s not a growth issue. They’ve got new spectrum, they’ve got 4G, you see the likes of Facebook, you see all of the big foreign investment that’s coming into the marketplace, so it’s really an exciting market from a broadband wireless perspective. That kind of gives it on a global scale, and from a supply chain perspective, we don’t see any impacts on our side from a supply chain perspective at this point. Our customers are the ones that are kind of front line with issues that they may have from some of the OEMs and things like that, but at least from our perspective, we’re not seeing any impact from that perspective.
David Barden: Okay, great. Thanks Tom, appreciate it. 
Operator: Your next question comes from the line of Tim Long from Barclays. Please go ahead.
Tim Long: Thank you. Was hoping you could talk a little bit more--you’d talked about edge compute a little bit in your prepared remarks. Could you just kind of update us on how you’re thinking about the business model for AMT, and obviously this is a longer term trend, any more views on data center investments and how you think you might monetize that, and then I have a follow-up.
Tom Bartlett: Okay. Let me take a step back a little bit. In terms of what we’re seeing from an evolution perspective, if you will, first of all, this whole market is in fact developing. With regards specific to the edge, we are at the beginning and we’re seeing certain elements align, if you will, but we’re really starting to and trying to participate in those, but we really are at the beginning of it. If you start to think about, first of all, the [indiscernible] impact, what the cloud impact is, we just saw some recent announcements in the market relative to cloud layers aligning with some of the MNOs and we’ve seen Verizon doing that over the last year or so, what we’re starting to see is if you think about kind of the 4G low, midband power market and what it looks like at the site level, as we move into the 5G and lowband, midband, what we’re starting to see at the site, for example, is a lot of--you know, MIMO is going to be starting to be deployed, a lot of antenna arrays, a lot of new fiber that’s going up the pole themselves, five to 10 times more fiber strands needed, higher power, more heat, and so there’s a lot of elements that are going on actually at the site itself, which is going to drive more and more equipment improvements to the public radio interface on the front hole which connects, actually, the tower to the base band unit itself. Now what we’re starting to see is we’re seeing Cloud-RAN and O-RAN. From an O-RAN perspective, it’s different types of equipment that our customers are able to put together to be able to load onto the site, and at the base level, at the base band unit, which is where the data center element comes in, we’re starting to see a disaggregation at the base band unit level into the DU and into the CU level, and that’s giving our customers the ability and us to be able to look at where in fact we might be able to expand and be able to enjoy some of this additional compute capability that’s going to exist out at the edge as the 5G experience becomes more prevalent throughout the country. We continue and expect to see this incremental convergence of this wire line and wireless network. We think it stresses the importance of that first mile network architecture, and so as a result we’re actually very, very excited about the opportunity. It’s a shared neutral host solution, we think it’s going to be very efficient out at the site level, and we actually are exploring and going down the path of really two elements, two ways if you will. We’ve talked about the distribute compute. You know, the enterprise workloads continue to move onto the public cloud, and so there’s a growing near term market segment that’s in use of that kind of off-prem cloud computing, it’s really a hybrid solution, and so we’re located on some [indiscernible], if you will, of our sites and you’ll see them - there are shelters there, there’s power, there’s capability to be able to offer this kind of a capability to these kind of midsized enterprise accounts, and they’re actually being quite successful. They’re loading up very quickly and, believe me, they’re not meaningful from an AMT perspective but they are absolutely meaningful from an experience perspective and learning exactly what our customers are going to be looking for. The bigger opportunity for us is still at the mobile edge compute side, and so that will become, we believe, more of a reality as that 5G world becomes more developed, so we have a number of MOUs with a number of different players focused on solutions to the MNOs, as well as focused on solutions to the cloud service providers. We’re exploring those, putting those in front of those particular accounts and looking at what the ultimate opportunity would be, and the site is a perfect location for being able to expand our customers’ edge compute capability, not just within the United States but on a global basis. If we can bring in 500 kilowatts of power into a particular site with a number of shelters that exist in the site to be able to load up racks and servers, we think--and give that cloud ramp, which will actually exist in that DU, so that’s why that disaggregation is so important between those two particular elements of the RAN, we think that we can enjoy some significant opportunity upside here from this whole initiative. It is an extension of our existing platform - again, neutral host, but it really provides ultimately that cloud ramp which we think is going to be needed to be able to enjoy that kind of latency that our enterprise accounts and customers are going to be looking for.
Tim Long: Okay, thank you. I just wanted to follow up - when you think about Africa and particularly India, obviously some aggressive tower build plans over the next few years, but could you just talk a little bit about this year and potential COVID-related risks to those builds and any other risks to the business because of the pandemic? Thank you.
Tom Bartlett: Yes, I think that the build itself--you know, our plan, our outlook I think has been the 6,000 to 7,000 sites. There could be some timing issues associated with the build. The need is there, I’m certain that the sites are going to be built, but particularly in a market like India who are suffering so significantly right now, there can be a timing issue in terms of having essential people out in the marketplace to be able to build. Clearly lives saved is more important than towers built, so there could be some timing issues there, but ultimately over that five-year period, we are seeing the demand for that 40,000 to 50,000 sites that Rod laid out, and our forecast right now is for that 6,000 to 7,000 sites, there could be some timing issues associated with particularly the sites in India. I’m not seeing the same implications in Africa at this point in time. By the way, our overall 6,000 to 7,000 sites, that outlook already includes some carving back of what we are expecting overall in the marketplace.  Relative to COVID overall, as we’ve seen over the last year, our business is quite resilient. People need connectivity - I think that’s been more obvious than ever over this past year, particularly in many of our global markets, and so our customers are doing everything possible that they can to be able to maintain that kind of connectivity. We’re doing everything we possibly can to be able to support them, to be able to ensure that kind of connectivity, so we’re working our tails off with our customers to make sure that we can do that.
Tim Long: Okay, thank you.
Operator: Your next question comes from the line of Batya Levi from UBS. Please go ahead.
Batya Levi: Great, thank you. A couple questions. First on the U.S., as you think about your long term guidance, can you tell us what it assumes in terms of the mix of amendments versus new collocation, and the new site build program that you have, what percent of that would be in the U.S.? As the carriers deploy CDMA, do you have any indication that they’re leaning more towards new leases as well? Then maybe just a follow-up on the escalator, Rod, if you can tell us a little bit more why it stepped down, and then when it will go back to 3%, and also if the Dish MLA, if you can confirm that’s a 3% escalator as well. Thank you.
Tom Bartlett: I thought you said there were just a couple questions! 
Batya Levi: I know. I thought we should take this call longer. 
Tom Bartlett: No, it’s great. Thanks for being here, and thanks for the questions. I’ll let Rod run with it. 
Rod Smith: Yes, thanks for the questions, Batya. I’ll try to remember all of the different aspects here, but if I miss anything, just remind me. Maybe I’ll start at the end and work backwards a little bit. The escalator in the U.S., you saw our escalator for Q1 was about 2.6% - that really was driven by the impact of timing mechanics within the T-Mobile MLA, so as we signed a new MLA with T-Mobile, the escalator shifted from one period to another, and that affected the volume of escalator in Q1. But for the full year, we do expect the escalator to be right in that 3% range, 3% or just above potentially, and Q2 we do expect the escalator for the U.S. to be 3.1%. There’s no structural change, there’s no permanent shift, it really is just a timing issue.  I’ll also point out, it’s a little ahead of time, but in 2022 you may see some lumpiness as well with the escalator, given the time shift here, but again for 2022 for the full year, we anticipate the escalator to be right in that 3% range, 3% or just above as usual, so nothing to be concerned there. We haven’t had any philosophy shift and no kind of contractual change in terms of what the escalator is. It remains at 3%, as it always has in the U.S. Then I think your next question was relative to the long term guidance, and maybe I’ll just take a minute to remind the folks on the call of what that is. We’re looking at over the next seven years, we’ve put out guidance at least 4% organic tenant billings growth on average over that time period. That includes the Sprint churn, which will begin to roll off of our billing later this year in Q4, in the beginning of October. If you normalize for that, we’re looking at that long term organic growth rate in the U.S. of about 5%. The other thing that I would point out here is if you look at just the first couple years, ’21 and ’22 on a Sprint impacted basis, where we’ll see that churn again beginning in Q4 of 2021, the expected organic tenant billings including that will be around 2%, but normalizing that it will be around 5%. Once we get clear from that, when we get out to ’23 and beyond, so ’23 out to ’27, even with the impact of the Sprint churn, we’re predicting organic tenant billings growth north of 5%, and on a normalized basis for that same time period north of about 6%, so we are very excited and confident about the future in the U.S. We are seeing an acceleration of gross new biz. We’re seeing that today, we expect that to continue, and that really is fueling these very solid organic tenant billings predictions over a long period of time - again, that seven years. Just a couple of key components here. I’d remind you, 23% or two thirds of this, two thirds of this revenue that we need to hit these things are already contracted in our long term agreements and in some of these holistic deals, so that’s key. That includes Dish being in here in the assumptions with some modest activity, which potentially could outperform depending on the pace and the level of their network build over that time period. Some of the C-band spectrum deployments for some carriers in some of the years may be in addition here and outside of the traditional holistics, so we’re looking to that potentially as an upside. Then in terms of the collocation amendment mix, we’re currently still at heavy amendment, 80% and 20% collocation - that’s the way it’s been for a little while. It may vary from carrier to carrier, but that’s what it’s been consistently, and we expect that that will be the case for a couple years. But going out longer term, it will vary. We do expect that it could be a higher percentage of collocations than we’ve traditionally seen as the carriers deploy this higher band spectrum and they have a need to densify their network builds over time, so we’re certainly planning for some of that as well but it’s probably too early to predict that with too much specificity in terms of what that would be in terms of the mix in the out years. Was there another piece in your question, Batya, that I didn’t address?
Batya Levi: Just the Dish MLA, does it have a 3% escalator?
Rod Smith: Yes, the Dish MLA has the 3% in there, so the escalator is consistent with everything else that we do and consistent with our philosophy here in the U.S. Then in terms of timing of the revenues, I’ll just maybe highlight for folks that we do expect revenue to begin in 2022, and it will be modest in that year and then it will ramp up going forward, and we’ll be working with Dish to help them roll out their network over an extended period of time. 
Batya Levi: Awesome, thanks so much. 
Rod Smith: You’re welcome. 
Igor Khislavsky: Okay, great. Well, thank you everybody for joining this morning. That will wrap it up. Hope everyone is doing well, and we’ll talk to you soon.
Rod Smith: Thanks everyone.
Operator: Ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T Teleconference. You may now disconnect.